Unidentified Company Representative: Good afternoon, everyone. Now we'd like to start SCREEN Holdings Financial Results Briefing on Second Quarter Fiscal Year ending in March 2025. Now let me introduce you the speakers from our side. Toshio Hiroe, Representative Director, President, and CEO.
Toshio Hiroe: This is Hiroe. Thank you very much for your kind cooperation and support.
Unidentified Company Representative: And Yoichi Kondo, Representative Director and CFO. And we also have two officers attending this meeting, Masato Goto, Senior Corporate Strategy Officer; and Akihiko Miyagawa, Senior Financial Strategy Officer. Now we'd like to invite CFO, Kondo to give us a summary of consolidated business results and the forecast.
Yoichi Kondo: Thank you very much. I would like to present you summary first half earnings of fiscal year ending March 2025. First off, summary. Both sales and profits increased year-on-year. We hit record highs for first half in terms of both net sales and op income and margin. We revised the full year earnings forecast upward driven by SPE, GA and FT. We revised the annual dividend forecast upward from JPY233 to JPY247 per share with the interim dividend increase to JPY120 per share SPE. Both sales and profits increased year-on-year and net sales and operating income margin hit the record high for the first half. We expect a solid performance for the second half. GA and FT first half earnings actually exceeded the forecast. The cash flow in comparison with the first quarter, second quarter operating cash flow increased significantly. Next page. This is first half net sale JPY277.3 billion, Op income, JPY58.2 billion, 21% OP margin, orderly income JPY58.6 billion, net income JPY38.10 and no difference, plus JPY54.1 billion, net sale op income JPY19.6 billion and ordinary income JPY19.2 billion, net income JPY12.4 billion, by the outside you can see the percentage. Composition of group sales by destination. So Japan 14%, Taiwan 19%, China 40%, Korea 3%, other Asia 3%, North America 14%, Europe 7%. That is a composition of group sales by destination. 40% is recorded by China, so it remains very high. Group sales by segment is shown on the next page. SPE 81.6%, GA 9%, FT 6.5% and PE 2.1%, and FT was doing pretty well according to this results. This is earnings by segment. SPE net sale JPY406.8 billion, Op income JPY29.9 billion, OP margin 25.6%, GA JPY12.8 billion, JPY1.2 billion of Op income. Op margin 9.4%, FT net sales JPY9.3 billion, Op income JPY0.3 billion, Op margin 3.8%. PE net sales JPY3 billion, OP income 0.1, OP margin 5.9%. Earnings by segment, on Q-o-Q first. As to SPE, sales and profit increased. Sales to logic and post sales actually increased. Sales to Taiwan, North America actually grew. GA sales profits went up. Recurring business was very good. FT sales and profits increased. Initially, we forecasted deficit but in majority we had the profitability. PE, sales and profit decreased, both sales remain solid. However, the liquid sales was slow. So year-on-year SPE both sales and profit increased sales to foundry and memory increased and sales to China and Taiwan also increased. GA sales increased, thanks to strong recurring business. Meanwhile, profits remained almost flat due to higher fixed cost. FT, both sales and profits increased. Sales to LCD and OLED both increased. PE, both sales and profit decreased. We expect recovery in equipment demand in next year. Balance sheet. On a consolidated basis, asset JPY668.1 billion and cash and deposit increased and we now accumulated profit. The equity ratio is 59.21% and the turnover is 30 [indiscernible] and actually notes and account payable is [indiscernible]. Now cash flow, we saw the recovery of cash flow and we now see that that's [65.6] of our cash flow and reduction of payables, not on the same level of year-on-year level, however, we could see pretty good recovery and this is over the income growth. And the 2024 first half at JPY38.5 billion and 2025 plus 23 and profitability plus 30.5 and fixed was [indiscernible] and exchange rate plus 1.0 therefore results 58.2 billion. So we consider this very important to control fixed cost and SPE and FT very good in terms of sales and [indiscernible] increased and also profitability was increasing due to the SPE. And that's all from my side, thank you very much.
Unidentified Company Representative: Thank you very much. Next President, Hiroe will talk about business environment and outlook. Mr. Hiroe, could you please go ahead.
Toshio Hiroe: Thank you. This is Hiroe speaking. I would like to talk about business environment and outlook. First of all, business environment. As to SPE, AI related semiconductor is expected to drive growth that is a current situation and growth is expected in server, smartphone and PC demands. On a monthly basis, growth is prominent, especially for server and related investment are active. Current DRAM prices are degrading slightly. However, investment in minituarization still continues on the customers side. Next as well as GA is concerned, POD investment continues to progress steadily, mainly in Europe and US, especially included business, so thanks to improved utilization ratio on the equipment side recurring business is very robust. Display demand is turning up as we expected. In this term, sales and orders are expected to come mainly from audit during this fiscal year, like a large scale OLED and medium and small size OLED. As for PE, the recovery in package related investments is still slow. It will take time. So we consider that recovery have to wait until next fiscal year. Let's talk about business outlook. So the fiscal year ending March 2025 second half and full year forecast have been revised upward. Sales and profits are going to increase year-on-year. And net sales, OP income, ordinary income, net income all are going to shift record high for the first consecutive fiscal year as a result of upward revision of the forecast. As to interim dividend, JPY120 per share, that's our decision to make, so it's up JPY11 from the July forecast and JPY127 per share is the upwardly revised year-end dividend. Therefore, as a result, total annual dividend is projected to be record high JPY247. I would like to talk more about SPE business overview. Market trends and outlook is the next topic. So let's talk about WFE outlook. As to CY2024, mid-single digit growth is projected. So nothing has been changed since July meeting. In FY -- CY2025, stronger growth is expected. So I think situation will be a little better. As to foundry and logic, investment in leading edge nodes is accelerating. However, partially some reassessments are anticipated. Memory business, memory is driving the WFE growth this year. It is expected to be the growth driver in CY25 as well. We consider memory will grow more next year. Now investment trends by application. As to foundry, investment in leading edge nodes, including advanced packaging is now steadily growing. Next, about logic. Investment is continuing at a certain level although there are some reassessment and review in scale was made. As to memory, investment focused on DRAM for HBM. As to NAND investment, it's progressing with a growing server volume and the increasing demand from hyperscalers. Hyperscalers are actually driving the growth. As to image devices, investment remains rather low key this year. We expect an increase in CY2025. Power device and others is expected to recover in CY2025 due to the improvement in supply demand balance. Let's take a look at Chinese market. China. Investment continued at a certain level, that's how we project. But gradually, it's shifting to the factory launch phase, not a huge investment. Plant started to have a factory launch phase, therefore, investment will decline somehow. Now composition of equipments by application and post sales. By application on Q-o-Q foundry is on the decline, logic going on. And so actually, logic is supplementing the loss by foundry. In second quarter, second quarter year-on-year comparison that logic is increasing greatly. As to post sales, first quarter, second quarter, we see the actual percentage both increased. So from July forecast, there is a upward revision because of this situation. This shows the composition of [equipment] sales application -- destination. And [indiscernible] see the Q-on-Q in first quarter, second quarter, the proportion of China has declined. And against that North America, Taiwan and Europe have increased the situation we have. And when we compare the second quarter to previous second quarter, this increase was Taiwan and also North America. And this slide shows you the composition of equipment sales by application. And the first half year-on-year comparison shows the increase of DRAM and logic. So the recovery of DRAM can be seen in the trend. And when we compare the actual from the first half to the focus in the second half, the share of the sales to Flash is projected to rise. So in the second half of the year, we can expect the investment into Flash. And the previous fiscal year performance and the expectation for this fiscal year, as you see on the right side, the sales to logic, DRAM and Flash are expected to rise and the total volume is expected to increase. And this is the composition of sales by destination. So in the same way, when we compare the fast half year-on-year comparison, there's increase with Taiwan and also China. And the actual -- from the first half and second half expectation, the sales to China is expected to decline. But compared to the July forecast, when we see the current situation or immediate situation, we can say that in the second half sales to China is to surpass the July forecast. And while we see the increase in the sales to Japan and South Korea and the previous years’ full year performance and this year, we expect the increase was Taiwan. And China sales ratio is projected to decline but the absolute sales volume will grow. So this is the forecast for this fiscal year. And about GA, recurring business is very robust. So in the first half, the sales of the post sales ratio reached 54% and mainly with ink, we have a very strong recurring business. And in the second half, we will go back to the normal level of 50%. But we have the possibility that this strong situation with recurring business may continue. So we'll pay this close attention to the trend. And in order to improve the operating profit margin, we are trying to enhance this post sales. Next is about FT. Display demand is now turning up. So in the second half, mainly with OLED, we can expect the sales order -- sales and order to increase. And in the first half, we could turn into black. So for the full year forecast, we made an upward revision. So in order to make the profit for the full year, we're trying to make the better profit. And this is about PE. We are struggling with PE business. Costs of sales itself is strong but package related investment to circuit board will pick up next year and beyond. So there's a kind of delay in the recovery of that investment, that is the impression we now have. But now we have the inquiry in Japan. So given with these inquiries, we'd like to increase the order received. And on this page, you can find the business forecast, which was upwardly revised this time. So the sales is JPY577 billion. So that is the increase of 14% over the previous year. And operating income is JPY113.5 billion that is the increase by 20%. And net income is JPY80 billion that is increase of 13.5%. So we expect the increase of sales and profit. And about SPE, in the second half, which was announced in October, so please pay attention to October focused, that is JPY244 billion and that's JPY58.5 billion in OP income, [indiscernible] OP [Indiscernible]. We scrutinized this outlook forecast into the second half, that's what we promised we see in the previous occasion and begin the improvement of the profit in the first half and also with some visibilities we now have, we came up with these figures. So we made the upward division for the second half forecast and also resulting in the full year forecast upward division. And as for the GA, compared to the July forecast, there's almost no big no change. But there's a increase with the operating income that is because of the situation we now explained to you. And FT, I mentioned earlier that we turned into black in the first half. And given that in the second half, we're going to have a JPY2 billion of operating income. And PE, the market condition is still severe. So we made the downward revision of JPY500 million and it is difficult to increase the profit and sales with this revision and others at the very bottom. From the October forecast, we have the figure of the 5.5 billion, that is a increase because the development investment in the first half is now slated into the second half. The purpose of which is the investment for the advanced package and SPE related investment. So we direct you -- carry out this investment in a very proactive manner. And this is R&D expenses, CapEx and depreciation. And from the beginning of the year, we haven’t changed them. And midterm management plan, we said that we are going to scrutinize our investment for the future growth and this process is going on. So investment into development and also [acquiring] the production property we have been discussing them and now we have some visibility about it. So when they are materialized, let me come back with another report to you. And next page is analysis of operating income growth. So comparing to the previous year's performance, we have the focus for this fiscal year. So sales and capacity utilization will have JPY36.5 billion increase and profitability will bring JPY2.5 billion increase. And fixed costs, we expect negative JPY19.5 and so another 0.5 from the exchange rates total JPY130.5 billion is the forecast for this full year. And as you can find at the bottom, as for the sales and the capacity utilization, they mainly come from the SPE and FT, mostly they are from SPE. And as for the profitability improvement, it'll come from the SPE. And increase in fixed cost will come from SPE holdings new businesses and GA. But most of this will be with SPE. So the labor cost, depreciation, amortization, all of the expenses increase and we would like to make the -- close investment without increases of this cost. And this is about the dividend. As I mentioned earlier, and you can see the comparison to July. So in October announcement, we have JPY120 per share dividend and year-end dividend payment will be JPY127. So the total annual dividend will be JPY247. So this is the additional forecast but record high figure and in order achieve this we would like to continue to make effort. And this is the page about the ESG related initiatives, but please go through this and this page [indiscernible] topics out of these, that is about the transfer of shares of subsidiary in this SPE business. As was announced on October 16th, there's a transfer of shares of subsidiary, Laser Systems & Solutions of Europe in France. The shares of this company is transferred to Sumitomo Heavy Industries. The announcement -- the contract was concluded on October 10th and amount of transfer is not disclosed. And this is already incorporated into the financial forecast as I mentioned earlier. And this company, Laser Systems & Solutions produces the annealing equipment for the laser equipment and Sumitomo Heavy Industries' laser annealing equipment has a synergy with this company's product. So we decided that this result in an win-win relationship and decided to transfer the shares to Sumitomo Heavy Industries. And we have the technology of flash lamp anneal. So we would like to make efforts so that our flash anneal will be adapted by the years as much as possible. That's all from me. Thank you very much for your attention.
Unidentified Company Representative: So President Hiroe, thank you very much for the presentation. Now I'd like to go into the Q&A session.
Operator: First person, CLSA Securities. Yoshida-san, please.
Yu Yoshida: First of all, the SPE for the second quarter. The sales to China was lower than anticipated and SPE sales, I think, some plan unachieved. However, the OP margin was pretty good but the post sales was pretty good. So could you please explain the situation about the revision of the OP income and OP margin? I think equipment cost will be better. However, in the second half, I think, there was some reduction comparison with the first half. So could you please explain the background?
Toshio Hiroe: In the second quarter, the sales actually is a little bit different from July forecast, because some customers sale and delivery time was shifted to the second half. So that was reflected. So that's the reason for the difference. And in comparison with July forecast, OP margin was improved because post sales ratio was -- as post sales -- the share of the post sales was improved more than we anticipated, so that contributed to our profit. Another point I would like to mention is in the first quarter -- so we were talking about some evaluation of the machine that was shifted to the second quarter and that not be shifted to the second half, I think that was already communicated to you. So in the second quarter, we could not match the timing with the customer. So finally, the sales is slightly to the second half. So this is the reason why the upward revision in comparison with the July forecast. Another point, SPE related development cost. Development cost, we could not use as a plan then development cost will be used in the second half and that will be actually consumed in the second half of the year. So that is a major factor for the upper revision of the earnings in the first half. As for the second half, the China product mix will be unchanged. Percentages will be [entered]. However, product mix in China is actually changing. The percentage of existing customers is increasing and the percentage of new customers are on the decline. So we try to check the customers and market. We actually examine the numbers. So the number we presented this time is pretty appropriate and correct numbers.
Yu Yoshida: Another question. So WFE, so you said that mid-single digit growth. So I think, it's a little bit better figure from the IR Day presentation. So what kind of application are you -- think about when you take a look at [upgrade]? And are on IR Day, you were talking about the two digit increase and you changed information. So do you consider still two digit growth can be anticipated? So how are you thinking about the next year situation?
Toshio Hiroe: So as to WFE, current year 2024 that will be unchanged. As to calender year 2025, we have rather be [indiscernible] view, because DRAM will recover pretty well. I already commented of that. As to Flash memory that will also recover. So we are pretty good at the foundry. We also consider there the recovery in the foundry business. In the logic, the customers range from investment for logic. So we can subtract that number. And finally, we came up with that number, which is plus. As to DRAM, plus 15% or -- plus 15% and foundry plus 5% or so and logic minus 15%, that's how we forecast and meet one digit percent number as a result of that calculation. Well, as to next year's forecast, next year forecast is unchanged. So some [indiscernible] second and half sales is revised upward. Then next year's plan is to be evaluated and examined more in detail. But WFE will be strong, that's how we see the situation. So next year forecast is not changed.
Yu Yoshida: So the actual number has not changed?
Toshio Hiroe: Yes, that is right. So the similar percentage growth can be anticipated right now.
Yu Yoshida: So gross ratio is not changed.
Toshio Hiroe: Yes, that is right.
Operator: Next is Shimamoto-san from Okasan Securities.
Takashi Shimamoto: I'm Shimamoto from Okasan Securities. I have a question about the double FE, how to think about next year. One is about China. So about the front end process, there is a kind of slowing down in China. But with you that is not a cause of the concern. So I want to know more about how do you look the -- [indiscernible] have about China next year?
Toshio Hiroe: So the question about China, we also expect that will slow down. I have been talking about China in the same way and this fiscal year we had better than expected situation. But next year and onward, the situation will go back to normal. I think adjustment will be made in that way. And at the bottom of this WFE page, you can find now there's a phase to start the new factories. And so they are now in the phase to enhance their production capacity. In that sense, another adjustment will takes place in China.
Takashi Shimamoto: And I think there's a difficult question to answer, but how much negative or how much decline do you expect you brace yourself against for this fiscal -- for this calendar year or next year?
Toshio Hiroe: Well, we are still making the investigation into the situation, so I cannot answer your question with specific figures. But more than 30% is expected.
Takashi Shimamoto: The next is about DRAM. So you mentioned the price decline was DRAM. So do we have to see it's a big change in the situation? So would you comment on the price decline of DRAM?
Toshio Hiroe: So about the DRAM price, there was the supply and demand balance and trade took place and the largest player in South Korea shifted their production to the commodity type DRAM that is -- that made in news on newspapers. So in that sense, temporarily there was a decline in the DRAM price. And from now, for the smartphones and the PCs, depending on the market situation of this, the situation related to the DRAM will change. I myself think this price drop would be a temporary one.
Operator: Next, Nakamura-san from Goldman Sachs.
Shuhei Nakamura: First question is about SPE Business. Add to the production capacity as to [S-Cube 5] [startup], how is the current situation? And JPY500 billion capacity is original plan. However, according to sales plan, the level has not reached that level. And what do you think about that, what is the attitude about that? And if demand further increase, to what extent you can cover -- you can actually deal with the next year's demand?
Toshio Hiroe: Let me answer. SPE -- S-Cube 5 production capacity, with -- full capacity production is already achieved. So like a JPY500 billion level is available with our production system. Then when we think about the future course, S-Cube 5, in parallel, the production improvement is going on for that system. We're working for the production improvement. We try to capture more orders. So the second half order placement, in value wise, the more order will be captured. We do not expose the exact number, but we are aiming at the order captured at that level of more than JPY500 billion.
Shuhei Nakamura: And the second question, the calendar year 2025 WFE. So [indiscernible] one month ago, your investment is [grinding] by some of the Korea customers, and I think you just reduced the value. However, according to the explanation, we feel that the DRAM is still strong and robust. Then in the past one year month or two months, what kind of change have you seen from your customers' side regarding the forecast, because you actually changed your forecast?
Toshio Hiroe: Yes. Well, major customer rather bearish. However, HBM related customers' investment is now active. So that's how the situation is changed to the positive way.
Shuhei Nakamura: In that sense, we consider a part of the customers may reduce the investment that was -- what you are thinking about, how different the situation is getting better for you?
Toshio Hiroe: Yes, that's how we see it currently.
Operator: Next let me invite Wadaki-san from Morgan Stanley MUFG Securities.
Tetsuya Wadaki: My question is that they have high profitable business with China. And when the deal decline it was into next year you may suffer from it. So of course, there's a difference between the calendar year and the fiscal year. But how do you see this decline of profitable business in China?
Toshio Hiroe: So we have the simulation internally and when we see the profit structure, we may have the one similar to that of this second half, that's how we expect for the next fiscal year. So we come up with this forecast for the second half this time. And profitability, if we can achieve this 24% as we expect, we think we can also target the same level in next fiscal year even with the decline of the Chinese China sales ratio.
Operator: Mr. Yoshioka from Nomura Securities, could you please go ahead?
Atsushi Yoshioka: I am Yoshioka from Nomura Securities. I have two question. So I may ask about China again. So three months ago, I think there are less inquiries from China, that's what you talked about. So in comparison with now and three months ago, how is the inquiry situation, how inquiries are changing? So could you please give us the latest information and also the sales in China to the second half of FY 2024? So like half of 2026, how do you think it will be changing? So could you please give me some more further information about China business?
Toshio Hiroe: As to China market, we see the focus for the second half. So we have actually scrutinized the number and we came up with this number. So I think we will settle with these figures. So in the second half, 38% or so for China and we thought it will be lower, but it's a little better than final 38%. So this is the most recent situation. And the year ending March 2026 that to go down to 30% or so, I'm not sure how much we have to scrutinize this. And after that, I think, it will get to 30%. We consider 25% to 30% that with the leveled number for China. So we consider probably 25% to 30% is the final figure we reach that’s how we project.
Atsushi Yoshioka: So this is the second half of this year. So you changed the information but you have more inquiries and you have foolish view. And second point SPE, OP margin or profitability. So most recently you have the upward revision because of the post sales increasing. So that's the reason you mentioned. And as to post sales, why post sales increasing? Is it any structural aspect or can we anticipate more for the second half? And could you please elaborate on why you have the post sales increase to have better results?
Toshio Hiroe: Yes. In this case, the customers, we had a kind of the similar level assumption then. Just recently, there are some inquiries or the project change or additional purchase order of parts. So we do not see any particular reason for increase, but we aiming at 20% of post sales to share, that's what we are aiming at. And probably rather than the result of our effort, but thanks to the timing of the customers, we could increase the post sales.
Operator: Mister Yamamoto from Mizuho Securities, please.
Yoshitsugu Yamamoto: My first question is about SPE OP margin. So in the midterm management plan, no further increase of OP margin is not expected. So because of the increase of the fixed cost and also because of the mix. So in this time frame of the major management plan, we cannot expect the further increase for OP margin, or do you have any expectation to achieve the better results for the OP margin?
Toshio Hiroe: So at present, as you said, the target of midterm management plan itself is almost achieved now. So we are now developing and also the investment for the [indiscernible] CapEx in order to achieve this figure, that's the target of the midterm management plan and there's no change in this concept. So this is a level we want to achieve. And in the next midterm management plan period, we have the intention to achieve the higher target, that's why we are making the preceding investment for the future growth. So we are in the second and third year of midterm management plan to carry out this investment.
Yoshitsugu Yamamoto: So if you can see, expect the further improvement of the productivity as such as at S-Cube 5, can you expect a greater investment into the future growth?
Toshio Hiroe: Yes, that's what we want to do. But investment for the development, of course, requires human resource and we have limited resource for development. So at some point, I think that level of investment will be settled to the one we have been planning. And the Laser Systems & Solutions share is now transferred to Sumitomo Heavy Industries.
Yoshitsugu Yamamoto: And when you see your business portfolio, are there any other businesses you think it's better to transfer to the other companies? So do you have any other ideas to spin out or to divest part of the businesses? So what do you think of your current business portfolio?
Toshio Hiroe: So in the previous midterm management plan, we reviewed our portfolio from various angles. And in the current midterm management plan period, we have some projects related to the business portfolio review, that's what I explained to you on the previous occasions. And this is related [indiscernible] and flash lamp anneal in evaluation with customers, we are strategically promoting our flash lamp anneal to various customers. So we could focus our results to the flash lamp anneal. And as for the laser annealing, we will let Sumitomo Heavy Industries with expertise and resources to handle it. And I think that will serve the better for the future of this Laser System Solutions of Europe, that's why we decided to transfer the shares of this company to Sumitomo Heavy Industries.
Yoshitsugu Yamamoto: And do you expect more of this kind of transform or can we cannot expect…
Toshio Hiroe: So could you repeat your question?
Yoshitsugu Yamamoto: So Japanese companies do not make the official comment to review the business portfolios. But sometimes, it's a bit -- so there's not many cases that the company or subsidiary is transferred to other companies as a way to improve the business portfolio, but SCREEN Holdings did that. So are there any other cases you have in mind to transfer the shares of your subsidiary to other companies?
Toshio Hiroe: So other than this, all the device of the business portfolio complete as for the ones we planned in the mid -- previous midterm management plan. So we are going to make the JPY80 billion strategic investment from now. So we'll move on to that phase of making investment to establish the new business portfolio.
Operator: Nakanomyo-san from Jefferies Securities, please.
Masahiro Nakanomyo: I am Nakanomyo from Jefferies. And first question, this is confirmation. In your presentation, the second half in comparison with the first half, there will be more purchase order increasing. So because of the recent situation, you see this kind of condition already like, in China, there's a decrease and stable in North America. But in Taiwan, business is active. So what is the breakdown can you please share with me?
Toshio Hiroe: As to purchase order, we do not disclose the number. We cannot share with you the breakdown of the purchase orders we receive. But the total value of the order should be increasing, and that's how we see these recent inquiries. Talking about percentage, foundry is very strong. Share of foundry is almost 50% or so, that's how we project. And the situation will progress like this.
Masahiro Nakanomyo: And second question, and again, about China. 42% China share will be getting down to 30% or so. I think it's about your sales, your company's share of sales. When we take a look at the whole WFE, it is considered that China business will decline. So when we talk about China, you said that new companies have less investment but existing company will continue the similar investment. But I think, you have powerful players or not powerful -- or you have account, which purchase a lot or accounts which don't. So I think China's customers are not so weak. So what do you think of your China sales in comparison with the whole China market?
Toshio Hiroe: Well, it's a very difficult question and difficult issue to deal with. Rather than memory, logic is a area we have strengths. So the new customers or existing customers of the logic, from logic customers, we get a lot of purchase orders and we get a lot of inquiries. As to memory related business, we are not really strong. However, in the memory related business, I think the certain amount of purchase will be received. However, investment trend when we take a look at -- probably the memory investment will decline, that's how we see Chinese market mix.
Masahiro Nakanomyo: So is it a positive aspect for you, generally speaking? What should we say? Should we say positive or not?
Toshio Hiroe: Yes, for us, I think it's a good direction for us, better direction when we think about our portfolio.
Operator: Next let me invite Mr. Damian Thong from Macquarie Capital Securities. And Damian Thong is the last person to ask questions on this occasion.
Damian Thong: For next fiscal year's outlook, you said that the market condition maybe a little bit weaker than next fiscal year. You devised your plan. So where did you see the stronger situation than expected, is it with China or the foundry? So compared to the three months ago, where did you see the stronger situation?
Toshio Hiroe: So as I answered previously, WFE forecast for the calendar year 2024 even we'll have plus 15%, Flash 15% and Foundry was plus 5 and logic minus 15. So these are the situation we expect. And your question is not about WFE…
Damian Thong: The reason why I asked this question is that you have the big share, especially with DRAM and memory. You have the big share. So when you see the inquiries from the customers, your sales growth expected for next fiscal year, given the current market situation, do you think that your sales growth can be better than that of the market growth of the next fiscal year or next year?
Toshio Hiroe: Yes, that's how we see the situation. So the better than the WFE market itself, we can achieve the greater growth. So the double digit percent growth is expected now.
Damian Thong: And my last question is -- and new POR will be gained from now to increase the share. Do you expect this impact from that?
Toshio Hiroe: So we are now increasing our market share at this moment. And because of the exchange ratio in 2023 the share was almost flat, that was the result we had. But in 2024, we can expect the increase of the share.
Damian Thong: Thank you very much. That's all for me.
Toshio Hiroe: So Damian-san, thank you very much for your question. I this now concludes the SCREEN Holdings financial results splitting and second quarter of fiscal year ending in March 2025. Thank you again for your participation despite your busy schedule. Thank you very much.